Operator: Greetings, and welcome to the CYREN 2013 Fourth Quarter Results Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Monica Gould, Investor Relations for CYREN. Thank you, Ms. Gould. You may now begin.
Monica Gould: Thank you and welcome to the CYREN’s fourth quarter and full year 2013 financial results conference call. I would like to remind everyone that the Safe Harbor statement issued in today’s press release also covers the contents of this conference call. With me on the call today are Mr. Lior Samuelson, CYREN’s recently appointed Chief Executive Officer, and Mr. Brian Briggs, Chief Financial Officer. Before we begin, I wanted to note that CYREN will be presenting at two upcoming investment conferences. These include Americas Growth Capital Security Conference in San Francisco today ahead of the RSA Conference later this week and the ROTH Conference in Southern California on March 11th. With that, I would now like to hand the call over to Mr. Lior Samuelson.
Lior Samuelson: Thank you, Monica. Good day and thank you for joining us. It’s been a privilege to serve as a Chairman of the Board for the Company over the last three years and I am looking forward to continuing to execute on the strategy that we had laid out and my extended role as CEO. As you know, we rebranded the Company at the beginning of the year to CYREN. This is part of our strategy to transform the Company from a best-in-class embedded anti-spam web-filtering and malware-detection service provider, to supply our complete cloud-based security-as-a-service solutions. We believe that this new brand better reflects our leading position at the center of its security and our rapidly expanding portfolio of service offerings. Our name change was the culminating step in the transformation that we undertook two years ago. As of this morning, we began trading on NASDAQ under our new ticker symbol CYRN. Also this morning, we announced the first distribution agreement of our recently launched CYREN WebSecurity offering. This partnership with Certsys, a leading Russian IT security provider allows them to distribute on a private label basis our cloud-based WebSecurity offering. I’ll have additional commentary of this new product offering later in my remark. Before I discuss our fourth quarter performance, I would first like to review our accomplishments in the past year. First we launched several new products including our private label email SaaS offering, mobile security for Android services and our On-Premise email security service for service providers. To help execute on our product offering, we significantly expanded our sales and marketing organization, allowed us to have a global presence to better serve our partners and potential customers. These investments helped us to extent our customer base into new segments, including resellers, distributors, hosting providers and mobile application developers. Lastly, we integrated two major acquisitions and streamlined the organization to gain efficiency and capitalize on the strength of each business. We rounded out the year with a solid fourth quarter performance in line with the guidance we provided. Fourth quarter revenue grew 22% year-over-year to $8.2 million. These results were marked by a solid performance to our core detection service business despite downward pressure on pricing. We attribute this success to a higher level of contract renewals and increase in the number of new deals signed. As an example, we added U-Mail one of the largest software developers and system integrators in China as a customer bond to extend the life of those offering. Our core detection business remains very profitable and enables us to invest in new products to expand our market opportunity and enhance our top-line growth rate. We introduced the first of our brand new products last month with a rollout of CYREN WebSecurity, a complete cloud-based security-as-a-service offering. This service leverages our existing cloud infrastructure at patented Recurrent Pattern Detection technology to deliver a simple supervision service that can be quickly deployed to protect end-users. CYREN WebSecurity addresses the explosive demand for cloud-based secure web gateways driven by an increasingly mobile workforce and BYOD trend. I’d like for additional perimeter-based security solutions which only protect users while they are connected to the corporate network, CYREN WebSecurity secures business user where ever roam on any device they use. This platform is incredibly easy to provision with just a few click, acquires no upfront capital investment and significantly reduces cost and complexity for business users. We’re building on our successful partner go-to-market strategy by offering CYREN WebSecurity as a private label or co-branded service to distributors, vendors, ISPs and Telco. Solution rebranding is just one of the partner enabling features integrated into CYREN WebSecurity via our industry first partner portal. From the partner portal CYREN partners can enable any existing ecosystem, including two tier distribution, to self CYREN WebSecurity, it even provide value-added management and support services. That partner port portal also makes license management and invoicing a SNAP by providing robust reporting for each partner and enabling API integration with third-party billing and provisioning systems. We have also made our science security center available to provide the industry with visibility into our GlobalView Security Cloud the most robust malware transaction base in the industry. This service tracks science analysis of billions of transactions, includes reviews of recent malware and spam levels, common web categorization of sites that have been hacked, distribution of global zombies and spam topics cloud showing the main active spam campaigns on a daily basis. We plan to continue to leverage our core assets to further expand our cloud-based service offerings. Over the next 18 to 24 months, we will be focusing on development efforts on bringing to market a new and improved email security-as-a-service as well as APT 2.0 and mobile web security offering. I’m very encouraged by the demand we’re seeing for our new products in the marketplace and the solid performance of our Core Detection business. This along with our upcoming product launches gives us confidence on our strategy to transform the Company and position CYREN for long-term profitable growth. With that, I’ll hand over the call to Brian to further elaborate on the quarterly results. Brian, please go ahead.
Brian Briggs: Thank you, Lior and hello everyone. I’ll now provide a summary of our fourth quarter 2013 results. For the more detailed results please refer to the press release we issued earlier today. In addition, please note that we compile our financials under U.S. GAAP which includes non-operating expenses. In order to better analyze our business performance, I will also discuss certain financial metrics on a non-GAAP basis, excluding these non-operating items. You can refer today’s press release for a full reconciliation of our GAAP and non-GAAP results. GAAP revenue for the fourth quarter of 2013 was $8.0 million, up 22% from a year ago. Full year 2013 revenues totaled $32.2 million, an increase of 35% compared to $23.9 million in 2012. Non-GAAP revenues for the fourth quarter totaled $8.4 million compared to $8.1 million for the sequential third quarter of 2013 and $7 million in the fourth quarter of 2012. Full year 2013 revenues totaled $32.8 million, an increase of 36% compared to $24.1 million in 2012. Our GAAP gross margin for the quarter was 76% compared to 78% in Q3 while our non-GAAP gross margin for the quarter was 79%. Our GAAP gross margin for the full year was 78% and our non-GAAP basis gross margin was 81%. GAAP operating expenses for the fourth quarter were $6.2 million, down from $6.8 million in Q3 of 2013 and compared to $6.4 million in the fourth quarter of 2012. Non-GAAP operating expenses for the quarter were $8.4 million, up from $6 million in Q3 2013 and compared to $5.6 million in the fourth quarter of the prior year. A detailed analysis summing the differences between GAAP operating expenses and non-GAAP operating expenses is included in our press release. Fourth quarter GAAP net loss was $7 million or a loss of $0.26 per basic share compared to a net loss of $0.5 million or a loss of $0.02 per basic share in the fourth quarter of 2012. Fourth quarter results include an adjusted to deferred tax benefits of $5.4 million, adjustments to acquisition-related earn-out obligations of $3.3 million and an investment impairment of $1.3 million. Our fourth quarter non-GAAP net loss was $1.9 million or a loss of $0.07 per basic share compared to non-GAAP net income of $0.3 million or $0.01 per diluted share in the fourth quarter of 2012. The differences between GAAP and non-GAAP net income are included in our press release. The primary differences include intangible amortization, stock-based compensation, adjustments to earn-out obligations, reorganization expenses, adjustments to deferred revenue, deferred tax benefits, investment impairment and customer contract agreements. Now turning to our balance sheet, our net cash at the end of the quarter stood at $3.8 million compared to $5.1 million at the end of December of 2012. Net cash usage of operating activities was $0.2 million for the quarter compared to cash usage of $1 million in Q3 of 2013. Total deferred revenues as of December 31, 2013, were $6.1 million, up 22% compared to $5 million at the end of the fourth quarter of 2012. The rise in deferred revenue is primarily driven by customer prepayments, new long-term agreements and contract renewals. Moving now to our financial outlook for 2014, we anticipate that the core business will remain steady with low single-digit revenue growth during the year in spite of continued downward pricing pressure in the industry. With the recent launch of our new cloud-based security platform at this time we do not have enough information to provide revenue guidance for the year for these new services. We anticipate having more clarity on the impact these services will have in 2014 later this year and we will communicate the expectations at that time. We plan to continue to invest the cash flow from the Core business into our new strategy. Please also note as a Safe Harbor, any outlook represented is as of today. We do not undertake an obligation to update estimates in the future. At this point, I would like to turn the call back to Lior for closing remarks.
Lior Samuelson: Thank you, Brian. And with that, we’d be happy to take your questions. Operator, please proceed with the Q&A. Question-and-Answer Session
Operator: Thank you. (Operator Instructions) Our first question comes from Conner McMahon with Sidoti & Company. Please state your question.
Conner McMahon: Hi, guys how are you?
Lior Samuelson: Great Conner.
Conner McMahon: Can you speak a little bit more about the mobile side of the business and what we are thinking is in store for the next year?
Lior Samuelson: Well, as you know we launched a android mobile solution this year, which is primarily similar to an antivirus for mobile. We are currently putting -- we also have the mobile solution on our SaaS platform, on the web SaaS. So to I apologize if I make it too simple, but if you join our service, you use your mobile device, you turn the device on and you go through our mobile and then you are protected just as any other device connected to us. In addition to that we have got plans. We haven’t -- we are working on a -- it will take us a little while but we’re working on a new solution, more extended solution for mobile which will be over the issue of the BYOD, which is as you know is probably the most significant issue that people have today with mobile devices. So that will be launched sometime in later this year.
Conner McMahon: Okay. Now looking at WebSecurity part, why are we thinking that’s going to be such a small part of revenue growth in 2014?
Lior Samuelson: Well, we don’t. But we don’t tell. I think what Brian said is and what I’ll kind of reiterate is we just really don’t know what the adoption rate is going to be and when people sign up, how many people then will in turn sign up for our client. So the issue is that we don’t have exact numbers and we don’t have precise forecast. So we’d rather not kind of speculate on whether it be. We – look this thing has been -- we signed as we said one customer which is a significant customer. The product has been beta tested by several people. We believe that some of these people will be converted in the near future into real customers. We have got a pipeline of people that are looking at the service and so we are, I mean we are excited, we are hopeful. But unfortunately we have to stop short of telling what we think is going to happen, because we don’t know.
Conner McMahon: Yes.
Lior Samuelson: We are however -- we think it is a very, very good serious and very competitive product that will feel a niche or perhaps a BYOD in the market where many of the -- what’s exist in the market today is primarily was designed and built for Fortune 100/200 large enterprises. This is extremely easy to provision and deploy. And as I said earlier it’s also requires wasting no CapEx, so we think that we bring to market quite a few advantages.
Conner McMahon: Okay. And finally just looking at operating expenses, do we expect them to stay here at these levels in 2014, or are they just slightly lying right now?
Brian Briggs: So I think 2014 or fourth quarter of 2013 was a little bit inflated as we worked through some of the ramp-up cost to get the new product ready to be launched. We also worked through and did a fairly comprehensive assessment of customer bad debt expense and so on in the fourth quarter. I think you’ll continue to see us invest heavily in the new strategy. So I think again a lot of it will depend on how fast the ramp-up of the product happens because again we’re going to push in the market as fast as the market will take it. So again I am trying to be vague on the answer, but I think the operating expenses will match up with the demand in the marketplace as far as our go-to market expenses are -- set of the marketing expenses we will be in line with the pipeline and the ramp-up of the new customers.
Conner McMahon: Okay, alright. Thanks guys.
Brian Briggs: Welcome.
Operator: Our next question comes from Lisa Thompson with Zacks. Please state your question.
Lisa Thompson: Hi, I have two questions. The first would be, could you describe a little bit how exactly you’ve recognized revenue and how that might change going forward as you get more involved in SaaS products? And then the second question is could you describe what happened with taxes this year and what you might expect going forward?
Brian Briggs: Sure, sure, thank you Lisa and thanks for being on the call this morning. To your first question, the Company has always been nearly 100% recurring revenue SaaS-type model historically. So, historically in general, a customer would sign a three year agreement with the Company with a minimum monthly commitments or minimum quarterly commitment. And then if they utilize more services than that they will pay us additional fees, if they utilized less service than that they still pay the minimum commitment. So, historically we would sign that three year deal and we would ratably recognize the revenue over the lifetime of that customer agreement, so again very much like a SaaS-based model. I think as we go forward, we’re going to see obviously much very similar types of revenue recognition, but more based upon non-minimum commitment types of offerings. I think somewhere to what you might see in the Salesforce.com type of arrangement of x amount per month per user and that would be immediately recognized in the month that the service is provided. So, I don’t expect to see dramatic differences in the way revenue. It’s recognized because essentially the Core business historically has been recognized on a SaaS-type of model and the new business would be similar. Again I think you’ll see more ramp-up in the new model because there’ll be less minimum commitment types of deals. You are going to see more services provided in a month and we’ll recognize revenue for that service as it’s provided. The second question you had was on taxes. Again what you see in the income statements in the fourth quarter of 2013 is basically our GAAP analysis of tax benefit available to the Company. So, as we disclosed on our 20-F and on a regular basis, the Company has significant net operating losses from previous years long ago. And under GAAP, you are only allowed to recognize as an asset on your balance sheet the portion of those losses that you anticipate being able to use especially over a three year forward looking period. So, historically the Company in its Core business was profitable. It had net income and therefore could reasonably assume that it would use some of those net operating losses as benefits over the foreseeable three year horizon. With us finishing 2013 at a loss and projecting minimal income or loss in 2014 and into 2015 we made the assessment that those assets couldn’t be recognized for GAAP purposes and we wrote the assets off the balance sheet and that’s what you see in the expense during the quarter. It does not impact the ability for us to utilize those NOLs at any point in the future when net income comes back into the business. But it’s just a GAAP analysis of essentially what the utilization of those benefits will look like over about a 36 month window.
Lisa Thompson: Okay. Thank you.
Operator: Thank you. (Operator Instructions) Our next question comes from George Melas with MKH Management. Please state your question.
George Melas: Yes, hi, good morning guys. Hi Lior, hi Brian and hi Shlomi, probably in the call, Brian can you go in a bit more detail about the various OpEx lines, there seem to be a big jump in each one of them sequentially in the fourth quarter, can you give us some details?
Brian Briggs: Yes, George, thank you for being on the call this morning. I think primarily as we look in the research and development and the sales and marketing areas I think those are consistent with the discussions we’ve had historically about the ramp-up in those areas as we drive the new SaaS-based platform and the new products to market. I think you saw a little bit of a spike in the fourth quarter as we put kind of the final surge I guess I would say across the goal lines to get the product launched. So, you saw some leading expenses there as we built out some datacenter technology and we ramped up some resources to help get the product launched and ready to go. On the G&A side again I think what you saw in the fourth quarter was again a little bit of a spike with some bad debt analysis that we went through. We also rounded out the executive team in the fourth quarter with some fairly significant additions of talent to the organization that cost us some recruiting expenses to bring that talent into the organization. So, again I think the research and development and the sales and marketing is pretty consistent with the investment philosophy we’ve been talking about and the G&A has some investment and some cleanup work included in those costs for the quarter.
George Melas: Okay. How much was the bad debt provision for the quarter?
Brian Briggs: It was -- the expense for the quarter was in the $300,000 to $400,000 range and that excludes some of bigger one-time items that we discussed in the press release and the reconciliation obviously with the tax loss and the impairment and so on.
George Melas: Yes, great. And so the R&D and sales and marketing expenses those should continue at these levels or should they even ramp-up further?
Brian Briggs: I think the real answer is it depends. Right, I mean I think the R&D will continue to -- we’re going to continue to invest in the new products but -- and the platform that Lior discussed in his comments. I think on the sales and marketing we’re going to continue to invest heavily there and I think the amount of expense we have in that category will be directly attributable to what the demand is in the marketplace. If we see continue demand, we’ll continue to invest in resources and marketing and partnership marketing to drive those opportunities into revenue for us.
George Melas: Okay, great. The impairment is pretty significant does that relate to Eleven, what is that related to?
Brian Briggs: The impairment of -- on the investment is that your question George?
George Melas: Yes, actually there is two impairments in a way I mean not quite two impairments, yes the impairment is the one and then also the adjustment to the earn-out?
Brian Briggs: Sure, so I can briefly comment on both of those. The impairment of the investment is historically the Company made an investment or made some working capital investment into a partner of the Company or customer of the company over the course of the years we invested about $1.5 million in that business. In return the Company saw multiple millions of dollars of revenue from that customer from the infusion of working capital. During 2013, that customer was sold to another player in the space and as a result of that the sales price was not in line with the investment percentage that we owned in the business. So we ended up writing down the investment from $1.5 million to -- by $1.3 million to recognize the $200,000 of proceeds that we received from the customer. They still remain a customer of the business and again it’s more of a GAAP accounting issue that we worked ourselves through but if you look at the lifetime of the revenue infusion from that customer versus the investment it was a long-term positive item for the Company versus the GAAP accounting numbers that we’re showing.
George Melas: Okay. So the value of the investment was adjusted from 1.5 to just 200,000 which is the proceeds that you got?
Brian Briggs: Not completely but the proceeds, so as 1.5 million we received 200,000 of proceeds then we wrote off the other 1.3 million.
George Melas: Okay. Can you tell you who that customer was or is that not something that you can share?
Brian Briggs: We’re not able to -- they remain a customer of the Company but I’m not able to comment on who it was.
George Melas: Okay, very good and then what about the earn-out?
Brian Briggs: So the earn-out obligation as you may be aware at the time we do the acquisitions, at the time we do an acquisition, you sit down and do an estimate of what the earn-outs -- you anticipate the earn-out to look like. You base that upon revenue projections that you have at the time, you base that upon the foreign currency rates that are in place at the time and so on. So when we did the acquisitions of Eleven and FRISK in late 2012, the analysis was performed to what the earn-out obligation and the earn-out payments would look like in our best estimate at that time. When we went back in each year, you’re required under GAAP to go back and recheck those estimates, what we saw it was that both investments both the FRISK investment and the Eleven investment. We’re delivering the revenue that we acquired from them so that was not a loss of revenues that were acquired as part of the acquisition. What we did see however though, was that the delay in the launch of web platform, the SaaS-based platform and the cyber and WebSecurity caused a ramp-up or a delayed ramp-up in the revenue calculations that we’re going into those earn-out obligations. So, the earn-out obligation had a very specific timeframe of 2013, 2014 and 2015 and when you do that calculation back in 2012, you get one number. When you do that calculation at the end 2013 based upon the new ramp-up and timing of WebSecurity, you get a new number and that delay even though we anticipate great growth for the business in that area, it now falls, some of that falls outside of the earn-out period so we went back and redid the calculation and adjusted the earn-out obligation down by that amount.
George Melas: Okay, because their earn-out was not contingent just on their particular business but on their contribution to the web platform?
Brian Briggs: That’s correct because we -- one of the main reasons for the acquisition of Eleven was to help build out the web SaaS-based platform that we are utilizing for CYREN web and the new product offerings.
George Melas: Okay, great. And then two more questions if I can. You startlingly you said that the Core business is very profitable and that you are sort of more than reinvesting the profit for the Core business into the new web platform. Can you just talk a little bit about the profitability of the Core business? How do you size it now? And what would be that profitability? So we have basically some sense of what is the foundation, I guess it’s not quite the foundation of the business, but what is the cash count of the business that you are actually able to grow so I think that’s great but -- and how much does that generate roughly?
Brian Briggs: Sure, so George I think, again I think if you take a look at the historical financials of the business, look at those before the, before the acquisitions of Eleven and FRISK the business was $18 million, $19 million, $20 million in revenue and $6 plus million of net income. If you add on the revenues from Eleven and from FRISK and consider that to be the Core business I think you can kind of extrapolate from that, what the profitability of that Core business is, and I would give them a wide range of somewhere in the $6 million to $10 million of operating income and cash flow from the combined Core business. And again from that we turned around, invested those funds into the new go-to-market strategy, the new product offering and so on, but that’s kind of the range and if again if you’ll look at the historical financials and use those metrics as far as net income as a percentage of revenue on the Core business I think you can get a pretty good feel for what that number looks like.
George Melas: Okay. So you say about 6 to 10. And then the last question is, can you guys talk a little more about the pilots, you signed this Russian customer, you know how many subscribers do they have or how many customers do they have, how many of those could eventually sign on to the product and to your WebSecurity product which they private labeled and maybe talk a bit about the number of people that have beta tested the product?
Brian Briggs: So the answer to your first question is no, and we don’t know and it’s in fact, we’re going to something that they have to turn around and sign-up and sell their customers on, so it’s a little bit difficult part at this stage to gauge what it’s going to look like.
George Melas: But do you know how many customers they have?
Brian Briggs: Well they have millions but we don’t know exactly how many of them would sign up for our web SaaS offering.
George Melas: And you know how they’re pricing it? Just to give us an understanding of how the product is moving onto the marketplace.
Brian Briggs: Our anticipation George would be that it would look similar to the market offerings that are out there today I think as we talked about I think in some of the conferences recently. The market pricing for this type of product is roughly $30 per user per year and again we’re going to resell, reseller in a partnership type of approach to that so again our goal out of that as we have talked about is to retain 50% to 70% of that market list price. And then again then a customer, our partner has the luxury to sell that for a $1,000 a year if they would like to do that or to give it away for free or to sell it $49.95 a year so again that part of it is anonymous that what they’re going to market price it at. Our view is that the reseller partner list price is probably $30 a year per customer and we want 50 to 70 points of that to stay in our back pocket.
George Melas: Okay. And maybe a little bit more in terms of pipeline, or not so much of the pipeline but those that have beta tested it, how many and maybe just…?
Brian Briggs: So I think in total we had roughly about 8 beta customers, I think we had 10 design partners originally that worked with us on the design of the product, we went with -- we had 8 beta customers and again we’ve gone through them with a full beta and they are spread throughout the world so there’s no regional centralization of those beta customers, they’re spread throughout the world so we could see how the product gets the needs of various parts of the world and the customers of various parts of the world. Again our goal is to convert those beta customers into full customers over the course of the next couple of quarters and all I can say I guess is stay tuned on that.
George Melas: Okay, great, thank you very much, good luck.
Brian Briggs: Thank you, George.
Operator: There are no further questions at this time. And I’ll now turn the conference back to Lior Samuelson for closing remarks. Thank you.
Lior Samuelson: Well I’d like to thank you all for joining us today and for your continued support and interest in CYREN. I look forward to updating you on our next conference call, so thank you all for joining. Take care.
Operator: Thank you. This concludes today’s conference, all participants may disconnect. Have a great day.